Operator: Thank you for standing by, and welcome to the Helbiz Full Year 2021 Earnings Conference Call. Currently, all participants are on a listen-only mode. As a reminder, today's program may be recorded. If anyone objects, please disconnect now. I'd now like to turn the call over to your host, Gary Dvorchak, Director of The Blueshirt Group. Mr. Dvorchak. Please go ahead.
Gary Dvorchak: Thank you, operator, and hello, everyone. Welcome to Helbiz's full year 2021 results conference call. With us today are Founder and Chief Executive Officer, Salvatore Palella; and Chief Financial Officer, Giulio Profumo, who will review the operating and financial highlights. We issued our financial results press release today after the market close. It's available via newswires on our website at investors.helbiz.com. A replay of this conference call will be available later today on the Investor Relations page of our website. Please note that our press release and this conference call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only predictions and may differ materially from actual future events or results due to a variety of factors. Helbiz can give no assurance that these statements will prove to be correct. We have no obligation to update these statements. We will also discuss certain forward-looking non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. We urge you to review the discussion of our non-GAAP financial measures and the risks associated with our business that are described in the safe harbor provision in our filings with the SEC. I will now turn the call over to Salvatore to begin. Salvatore?
Salvatore Palella: Thank you, Gary. Good day, everyone. Thank you for joining us on today's call to review our accomplishment in 2021. The year was nothing short of spectacular for Helbiz. We entered the year as a private company and exited the year as a public trade company on NASDAQ, the first micro-mobility companies to be listed in the U.S. with multiple line of business and over 350 employees around the world. Our micro mobility offering serves 34 cities with 41 licenses globally with multiple vehicle types that meet the growing need of the urban traveler. We added important large cities such as Washington, D.C., Miami, Sacramento en route. Our app is now a portal to multiple service that enables a modern urban lifestyle. Besides mobility, we offer food delivery and media sports entertainment with more offering to come. All this effort is paying off. Revenue tripled in 2021. Let's review in more deep our accomplishments, starting with the foundation of our business, the micro-mobility sector. As I mentioned, we expand our coverage rightfully during the year, and we are building our pipeline for future growth. Importantly, growth will not come from new cities alone. In the city where we are operating, we are anticipated mainly to expand the vehicle fleet size as a micro-mobility become more popular. We also expect to drive revenue growth through higher utilization in the form of more longer ride and higher pricing as we have larger and more sophisticated vehicle to deploy fleets. Mobility revenue more than doubled in 2021. And with all of these levels with growth, we expect equally solid performance in the coming years. Mobility is our foundation. We are not here for sitting still. Customer access mobility through our app and our app enable us to access our customers. Once the sticky relation is established, there are all sorts of additional service we can offer our members. In 2021, we stepped on an accelerator to offer more to our customers. The most important one was the media sports and entertainment, which our customer access today through our Helbiz Live App. We all let this out to a summer and it has been an immediately contributor. We are building our library of content, starting with live soccer game from the Italian Serie B Soccer League available to Helbiz Live subscriber. We partnered with ESPN to stream the NCAA Football and Basketball championship. Starting from announcing last in last year, a Media made over 20% of our revenue in 2021, even though it was introduced only in the second half of the year. In 2021, we also operate our first experimental ghost kitchens in Milan. The ghost kitchen has a diverse menu that can be ordered via the a Helbiz app and delivery by our riders using our vehicles. We have used the app since we launched to test and perfect the format, and we expect the kitchen to become a revenue contributor in 2022. And not only -- we also are driving our plans to open more kitchens in the U.S. and Italy. As you can see our app is evolving into something of a super app offering multiple service and enable to a modern urban lifestyle. There is plenty more we can do with it from advertising to financial services. The growth possibilities are endless. Importantly, our growth potential is not limited to service. We are leveraging our offer in mobility to not only offering ride, but to offer our stylish scooter for retail sale. Late in 2021, we introduced Helbiz One e-scooter, which can be preordered now for delivery later this year. Helbiz is quickly becoming known for beautiful design, and we see the opportunity to leverage this emerging brand reputation into the other category over time. I now want to talk about the R&D capability we built during the years. Our mobility service, our app, our vehicle and all other new service are all built on a foundation of a sophisticated technology developed by in-house by our amazing team of almost 50 engineers and developers. This group enable us to win the highly competitive city license that fuel our growth. For example, we are integrating AI that enable enforcement for a value of demanded policies. Some city require helmet to ride and to enforce these, we development our AI selfie analysis feature, we integrated geolocation technology to enforce parking policies. We can develop our sensors and software to ensure scooter have only one ride. We have developed the software to serve advertising both in app and at parking terminals. Our R&D team is only scratching the surface of innovation that will drive our business for the years to come. Before I turn the call to Giulio for the financial discussion, I want to touch on our commitment to corporate responsibility. As a modern young company, we have commitment to implementing all the relevant standard of the UN sustainability development cost. Our micro-mobility offering is a necessary step to reduce carbon emission, urban congestion and to make safe, convenient and inexpensive transportation to accessible to a wide range of people. We are commitment to sustainability in our operation. For instant, in our partnership with Li-Cycle to recite our spend vehicle factors. We are in the process of implementing an ESG dashboard on our website so that you can track our ESG performance continuously greater than one use. We are proud of our ESG commitment, and we want the world to be able to measure our commitment on an ongoing basis. Now let me turn the call to our CFO, Giulio, to discuss our financial performance of the year. Giulio Profumo?
Giulio Profumo: Thank you, Salvatore. 2021 was a milestone year for Helbiz financially. From our beginning as a small startup, we gained momentum last year and are positioned for exceptional growth this year and beyond. I will cover the key highlights now. You can see all the details in our 10-K filing and earnings release. Full year revenue nearly tripled in 2021, up 190%. This was driven by accelerating growth in our core mobility segment, complemented by our new media business. Mobility growth was largely driven by the expansion of our fleet and the opening of several new cities across the U.S. and Europe. Notably, we also experienced an increase in ride volumes and trip duration as several key markets is restrictions and riders sought socially distant ways to get around. For our mobility business, annual active platform users was up 80% in 2021. Annual active platform users has grown at the CAGR of 155% since 2019. Trips measured by number of completed rides were up by 23% last year and have grown at a CAGR of over 300% since 2019. The performance drove mobility revenue growth by 135%. Important to mobility revenue was the growth of Helbiz unlimited subscriptions, which were up 246%. Our unlimited subscribers are sticky and for a monthly recurring subscription, they receive a package of clients, a limited access to Helbiz Live and unlimited free food delivery. Complementing the strong performance in mobility was delivery and media. The new business lines were launched last year. Media started a strong contributing 22% of revenue last year. Media revenue was mainly composed of international commercialization and distribution of content to media partners. For instance, we generated revenue from sale of the rights to broadcast the Italian League Serie B soccer match globally. Now let's move on to the operating expenses. At this early stage of our growth, we're investing heavily in growing our existing services and developing new ones. You should expect us to continue to invest heavily in our businesses. Operating expenses were composed of cost of revenue, R&D, sales and marketing and general and administrative. Operating expenses in 2021 were $72 million, up 195% over 2020. We had substantial increases in R&D, sales and marketing and general and administrative. We recorded 7.4 million as stock-based compensation expenses associated with service-based awards and onetime issuance of shares in connection with our business combination in 2021. Cost of revenue was also impacted by the launch of Helbiz Live, which accounted for 28% of cost of revenue. Content licensing was a major component. Research and development expense was up 76% to $2.8 million in 2021. Salvatore highlighted the many innovations developed by our R&D group. So this was money well spent. Sales and marketing growth was driven by heavy investments to promote awareness of our multiple business lines and the increase in general and administrative expenses were driven by hiring professional services, fees and personal-related stock compensation. Turning to the balance sheet, we closed the year with over $20 million in cash. Importantly, we can fund our growth plans. In addition to cash, we have borrowing capacity and publicly traded stock that gives us access to the capital markets. Looking ahead, I'd like to offer some guidance for 2022. Based on our existing city footprint, potential new city openings and a growing fleet with 25,000 new vehicles coming later this year plus our outlook for medium, we expect solid revenue growth in 2022. Now I will turn the call over to Salvatore for closing remarks.
Salvatore Palella: 2021 was a defining time in our company's history. In the first public listed micro-mobility company established us as a leader in our industry. We expanded rapidly in mobility and set the stage for future growth with many license awards in the new city. We also gained early momentum in the new business lines, such as media and delivery and look forward to continue rapidly grow in 2022 and beyond. Our goal is to offer a platform of service that enable the modern urban lifestyle, mobility delivery, financial service, media sports entertainment and more. We are investing heavily to build our leading position in our industry. If any of you have questions, please contact us directly. We are happy to spend time with you to increase your understanding on our business. Thank you for your time today. We really appreciate, and we're looking forward to reporting our progress in the next quarter ahead. Thank you.
End of Q&A: Thank you. Ladies and gentlemen, this does conclude the conference call. You may now disconnect.